Operator: Good morning, ladies and gentlemen and thank you for standing by. Welcome to the Agnico-Eagle Mines Q1 2012 Conference Call. [Operator Instructions] I would like to remind everyone that this conference call is being recorded today, April 27, 2012, at 8:30 a.m. Eastern time. I'll now turn the conference over to Sean Boyd. Please go ahead, sir.
Sean Boyd: Thank you very much, operator, and good morning everyone, and thanks for joining us. We know it's a busy morning for you. What we'd like to do is take you through a series of slides and talk about our operations this morning. And we've got our full team here in Toronto. Our annual meeting is also this morning in Toronto. So we'll leave some time for some questions. I'd just like to caution everyone that this presentation includes some forward-looking statements. So there's cautionary language in our presentation, and you can see that on our website. As far as positioning, as we know, we had a difficult year last year with some operating challenges. We've worked hard over the last several months on optimizing our operations. As we move forward, a lot of these newly built mines are getting to the point where they're more mature, and we can see that reflected in the results in the first quarter. So we were extremely pleased that we had contribution from all of our mines. We had strong cash generation. We had some good cost performance. We were able to mine and process more tonnes. And as we move forward, we look to optimize -- continue to optimize those assets. We continue to look for expansion opportunities within the current portfolio. We're working on some of those. We'll talk about those in the presentation. We still have an aggressive exploration program on many of our assets that are large and wide open. We plan to have an update on our exploration activities in June of this year. One of the topical items now is political risks, and our strategy doesn't change there. We're still very much focused on being at the low end of the political risk spectrum as far as mining goes. And as we look out, we've got a business that can operate generating net free cash flow that will use to maintain a solid dividend, continue our exploration on our programs, reinvest back in some assets to increase our output as we move forward, and we'll also, we anticipate, be able to continue to strengthen our financial position as we did this quarter with a repayment of our debt of about $90 million. In terms of operating highlights, we did have a strong production quarter at over 250,000 ounces. We had year-over-year production growth from the 5 operating mines of almost 19%. We had record gold production coming out of 2 of our mines in Kittila and also from our operations in Mexico. We had record throughput at Meadowbank over 9,700 tonnes a day, which was a strong performance. And as we indicated at the top of the presentation, that generated an extremely strong cash flow generation with cash provided by operating activities of $196 million. Specifically on the operating side, as we said, we had contributions with increased output coming out of all 5 of our mines. And that increased output and better performance from all 5 mines more than made up for the lost in gold production from the suspension of operations at Goldex. So it was good to see all mines contributing to make up for that large production. Although we've had a very strong first quarter, it is mining. We're not prepared at this point to change our guidance. So we would just categorize our guidance as very solid and very achievable based on the strong start in Q1 and continued good performance in April of this year. As far as the financial results, again, strong cash generated of almost $200 million in the quarter with net income of $79 million and earnings of $0.46 per share. So a strong quarter. As we also talk about mine profits, we did see our operating margins at the mine increase by 21% year-over-year in total, and that's with one less operating mine. So again, as we talked about, good contribution from all mines. On the cost side, we actually -- when you look through all the data, we have 2 mines that are actually producing gold for cost of sub $300 per ounce. So these are quality mines. These mines are a big part of our future and a big part of our strong production base and low-cost structure as we move forward. Financial position, touched on that. We repaid $90 million in debt. So net debt, a little over $600 million and available credit of almost $1 billion. So we've got a strengthening, strong and strengthening financial position. The way the business is positioned going forward, we anticipate generating strong EBITDA as we grow our production and output over the next few years. Our estimate of capital reinvestment required to grow that output is in the $500 million range, on average, for the next 4 or 5 years. And that would include Meliadine, Kittila expansion, work we're doing in Mexico on the shaft, La India, et cetera. So a business that generates net free cash flow, which as we said, we'll use to pay the dividend, continue to explore these large deposits and look for opportunities to grow output through continuing ongoing investment at these large deposits. In terms of dividends, that's been a focus for us, not just recently but for the large part of our 55-year history. And we were proud to declare our 30th consecutive annual dividend for 2012. So that's at $0.20 a quarter, which puts us among the highest dividends per share in the industry. And given the way our business is positioned, we've left room to move that higher as we grow our output over the next few years. As we look at our assets in particular, I'll start with LaRonde, which continues to be the flagship. Despite the fact that our base metal production is declining relative to what we've been accustomed to over the last few years, we did have a strong production quarter not just on the gold side but also on the zinc side. And as a result of that, we had cash cost of under $300. We had mine operating profit at $63 million at LaRonde, which was the second highest out of our 5 assets for the quarter. And that's largely because we had about a 9% increase in our throughput, up to 7,100 tonnes a day. Our gold output was up 17% year-over-year from the previous quarter, and we maintained our cost per tonne in the sort of $90 per tonne Canadian range, which is essentially the budget for 2012. Moving to Kittila. We had a record production quarter. We had almost 47,000 ounces, so our gold production was up 16% year-over-year. Our tonnage was up 9%. So we've been able to improve efficiencies and optimize that deposit. We average about 3,200 tonnes a day. We had good cost performance. Our cash costs were USD $565 per ounce. On a per tonne basis, they were EUR 67 per tonne. We had extremely good performance in the plant. We had recoveries of 88%. We were expecting recoveries in the mid-80s, so we've done a bit better than that. The mine generated almost $50 million in mine operating profit. So again, a good solid performance coming out of that mine. We continue to look at expansion opportunities. The deposit is our largest single reserve and resource deposit. The first phase is a 25% expansion in throughput, which we're studying now. That study should be completed late this year. We're also presently studying a shaft for that deposit. We know we need a shaft, given the size of that deposit, given the extent of the mineralization below 700 meters and also given the extent of the mineralization and what appears to be improving grades and thicknesses as we move to the north. So that shaft would serve 2 purposes, one, to make it much more efficient to mine below 700 meters, but also provide an underground exploration platform to drill the structures as we move to the north and where we think we have some of our best potential. As we look out for the balance of the year, we have budgeted in our guidance that was put out in mid-February for Kittila, 44 days in total of downtime, maintenance downtime planned for the autoclave. In the second quarter, we plan to have a maintenance program on the autoclave that we anticipate would take about 40 days. So that will reduce our output in the second quarter, but that was built into our guidance that was put out in mid-February. So we're sticking with our guidance at Kittila for the full year. Moving to Mexico. Another really good performance, $69 million in operating profit. That's of all of our mines that generated the most cash mine operating profit. Our mill tonnage was up 11% year-over-year to almost 5,000 tonnes a day. We had a full quarter of production from Creston Mascota. As a result of those 2 performances, our gold production was up about 19%, and our grade was roughly where we expected it to be. And that resulted in cash costs of sub 300. So Mexico is a big part of our business. We have a solid core of assets there. We have a solid team that knows how to do business there, and that's a part of the world that we'd like to continue to grow our business. As we look out at our projects there, we have La India, which was the recent acquisition with great resources. Currently, we're doing drilling there. We're doing an economic assessment. We're working on permitting. We expect to be in a position to provide a fuller update on the status of that project in the third quarter of this year. We also, yesterday, gave approval to go ahead with an underground shaft, simply because we wanted to increase our capacity underground from what is presently about 3,000 tonnes a day to 4,500 tonnes a day. That will improve the flexibility of the mine as we go forward and mine out some of our open pits. And that will make it much more cost effective to mine that ore underground. We looked at several options, trucking, conveying and as it turned out, the highest rate of return, the best cash on cash return was to invest money in the shaft to gain access to the deeper material at Pinos Altos. Just a quick update on Meliadine. We continue to move that project forward, we're spending $82 million this year. That's spent on exploration and infrastructure. Our road from Rankin Inlet to the site is under construction. We continue to work on regulatory approvals and permitting. We're also working on an updated feasibility study, which we expect to be completed in late 2013. The road is important for us because it sets us up to look to accelerate underground development of the ramp system likely starting next year. We're still doing some analysis, but with the road in place, it lowers the cost of doing that type of infrastructure and construction work. So the road is a key component of that project, and we're happy to say that, that road construction is well underway. Moving to Meadowbank. Strong performance on the production side, 40% increase in throughput averaging over 9,700 tonnes a day. The cost per tonne, steady at CAD $92 per tonne, still high cost on a per ounce basis at around $1,000 per ounce. We've got a number of cost initiatives that we're working on now in an action plan. We're not looking for material changes in the unit cost there on a per ounce basis. But we think we can do somewhat better than that with the number of cost initiatives that we have in place now that we've been able to get our tonnage up over 9,000 tonnes a day. The realized grade in the quarter, around 3 grams. And that generated production of almost 80,000 ounces, which generated a mine profit of $49 million. And our job, as we talked about earlier this year, as we altered the mine plan and put a lower risk mine plan in place was really cash flow maximization. And we're certainly looking to generate about $1 billion in net free cash flow over the next 6 years at Meadowbank. At Lapa, our realized grade was over 7 grams. Our tonnage performance was good, above our expectations. We produced almost 29,000 ounces. Our focus there is simply to extend the mine life. We feel we can get it to the end of 2015. We're drilling underground, and we're also have started a drift off to the west following up the structure from the shaft. Goldex, just a brief update. We'll be in a position to provide a much more fuller update in the middle of this year. We would just want to simply say that we're continuing with our monitoring, our investigation, we're continuing some remediation, but we're also doing exploration work. And that includes not only drilling but also doing drifting work to position our drills above the D Zone so we can get a better idea and sense of how big the D Zone is. And I'll leave it at that until we're in a better position mid-year to provide a summary of all the work that we've been actively doing there since mid-October. So just quickly, in summary, there's really no change in focus for us. It's really in terms of strategy and operational focus, it's just on improving and optimizing the existing assets. We're looking to move some expansion opportunities within that existing asset base forward. Over the next 3 years, as we stated in our mid-February update, we expect about 24% increase in our production through the end of 2014. That's funded from cash flow. We talked about our guidance. It's still solid, very achievable based on the start we've had, that's not just production but also our cost guidance. We'll provide an exploration update in June. We continue an active exploration program. A good part of that program is spent on resource to reserve conversion on around the existing assets. And that's really for planning purposes as we look at potential to increase throughput at some of these assets. And really to sum it all up, we've got a business that's generating solid cash flows in low political parts of the world. And we're simply looking at striking the right balance between allocating that cash flow to dividends, exploration and reinvesting in our core business and optimizing and expanding some of our key operations. So I'll leave it at that operator, and be happy to take -- the group will be happy to take questions.
Operator: [Operator Instructions] Your first question today comes from Stephen Walker with RBC Capital Markets.
Stephen D. Walker: Just a couple of questions. Just is there any -- in addition to the 40-day maintenance schedule at Kittila, for the balance of the year, are there any other major maintenance program scheduled either at LaRonde or any of the other operations?
Sean Boyd: No. Nothing out of the ordinary that wasn't included already in the guidance and the estimate that we've put out mid-February.
Stephen D. Walker: Great. And just to follow-up something, and again, if this has been talked about before, I apologize. About Goldex, has there been an official review by the Ministry of Natural Resources, the mine safety, the mine monitoring division as to what happened at Goldex? And if so, when did that report come out, or is there a report that is expected?
Sean Boyd: Well, that's all ongoing, and that's part of the process. We've continued to work with not only the government officials and the local government but also with consultants that have been involved in the project for a number of years. And really, what we're doing now is waiting for a series of reports to be finished and a series of reports to come in and as they come in, we'll do an overall risk assessment based on all the input we get from the experts and that's what we expect to be able to provide an update on in more detail the middle of the year. So we're still waiting on some of this work to be finalized and some of the reports to come in, which would include involvement of people like CSST in the government of Québec.
Stephen D. Walker: Right. And just lastly on Meadowbank. Obviously, a great throughput at the plant there. Can you give us a sense on how long it will take to transition from the current cutoff grades to the revised cutoff grades that you're going to be using going forward? Is that something that has occurred already or is it something over the next couple of quarters that you'll revise that, the open pit mine plant at Meadowbank?
Sean Boyd: Our realized grade in the quarter was 3 grams, and we were looking for about 3.1 grams. So our dilution experience has been good in the quarter. Our overall estimate in the remaining life of mine that we put out was about 3.2 grams. So we're quite close to that. So we're comfortable with the 3.2 grams over the next 6 years. We've had good development performance in terms of moving waste. I think we're averaging about 90,000 tonnes a day, which is where we need to be. So things have actually gone quite well there, and we didn't really have a lot of complications from the weather this year. We had what would be termed a relatively normal winter as opposed to last year where it was just horrendous with extreme cold. And we were trying to operate a portable crusher at that time, which has caused a lot of grief, and we didn't have the advantage of the secondary crushing unit. So we've got a lot of things in place now that we didn't have last year, which helps us going forward. And the biggest among them is the fact that the new plant over the next 6 years eliminates about a third of the waste development that was in the old plant. So we feel pretty comfortable about the grade there.
Stephen D. Walker: And just one more follow-up question to that if I might. The zonation, is there much zonation in that ore or is it fairly homogeneous? Do you expect any higher grade zones that might benefit on a quarterly basis? Or is it fairly homogeneous?
Sean Boyd: It could be. As we move to the south, we know that the southern pit has a bit better grade. So we do have days where you will get spikes and really, what we look for is to average around 3 grams for most of the month. And then, occasionally, you get spikes where you're well above that because there is some areas where you get a lot of visible gold. And if you get 3 or 4 days where you get a bump, then you have a good month. So that's generally what happens. One other comment there from the operating guy just like to add onto that, Stephen.
Yvon Sylvestre: We will have variations in grades as we ramp up into Goose pit and Vault areas, there will be variations. But overall, what you're seeing now is what you'll be seeing in the future, essentially.
Operator: Your next question comes from Greg Barnes with TD Securities.
Greg Barnes: Sean, the 40-day shutdown at Kittila, is that going to be an annual event? Or is it more spaced out then that?
Sean Boyd: No. That's one where -- I'll give Jean Robitaille to give you a bit color on why it's 40 days and why it's now.
Jean Robitaille: Greg, essentially, normally, you may see that on normal operation at each 5, 7 days to realign the third layer. Currently, since the beginning, we have many on and off situations and this is why we decided to plan this year that 40-day shutdown. So normal occurrence in our case will be 2x per year for now, roughly 10, 13 days. And this is built in our life of mine and forecast. So this year it's exceptional, and it will come back in principle in, let's say, 5 years from now.
Greg Barnes: But in the interim, you'll have a 10-day shutdown twice a year.
Jean Robitaille: Roughly, yes, and you do the inspection and the descaling into the autoclave and small normal maintenance.
Greg Barnes: Okay. Just a second question, Sean. Goldex, you said you're drifting above the D Zone. Does that imply that you're blasting down there?
Sean Boyd: Yes.
Operator: Your next question comes from Joseph Reagor [ph] with Global Hunter Securities.
Unknown Analyst: 2 questions for you. The first is, at Kittila, do you have any cash cost guidance with the maintenance included, even like a ballpark range on it?
Sean Boyd: It doesn't change from what we put out in mid-February. And in mid-February, the number was, just getting that now, it was about 650 per ounce.
Unknown Analyst: I mean, more for just the quarter, is that too fine for you guys?
Sean Boyd: I think that's too fine. We don't really put out the quarterly cash cost guidance on a quarterly basis, but we're still comfortable based on where we are for full year guidance in the sort of 650 range.
Unknown Analyst: Okay. Goldex, the plan you guys have right now with the exploration as there a dollar number on that, that you guys have guided to? And is all of the drilling going on in the D Zone? Or are you guys still drilling the original deposit as well?
Sean Boyd: No. We can't drill the original deposit. We've just pulled away from that area entirely. So we're drilling satellite zones on the property. And in terms of the costs, it's about $2 million a month roughly. And so we'll be in a position, mid-year, with all of the technical information, the risk assessment done, all of our work done with the officials plus our exploration work to decide what's possible there, if anything. And we're still cautioning people, like we've done consistently, is you should have 0 value in your model and 0 value on expectations for Goldex.
Operator: Your next question comes from Joung Park with Morningstar.
Joung Park: Question I had was I noticed that CapEx on existing mines came down dramatically during the quarter. So why is that? Have these mines kind of matured to the point where they need lower levels of sustaining CapEx?
Sean Boyd: They're right on the budget, and they will vary from quarter to quarter. So the overall level went up slightly, but that's because we've approved some additional initiatives. One of those was an acceleration of the ramp development at Kittila and exploration program at Kittila underground for purposes of evaluating the extent of the mineralization at Rimpi. The other major component of the increase was an additional $10 million in 2012 to the already budgeted $10 million at Pinos Altos for the shaft. So we're still in line with our guidance with the exception of a couple of additional initiatives that we've decided make sense for the future of some of our key assets.
Joung Park: Okay. And it seems like you guys don't break down how much you spent on Goldex. So can you quantify that?
Sean Boyd: Well, we have a provision that was taken last year for remediation and assessment. So we're working through that provision. But roughly, it's about $2 million, $2.5 million a month that gets expensed depending on the month. And a lot of that is exploration and economic assessment of other alternatives. We really want to be in a position at the mid-year so not only will we have all the technical reports, but we'll also have a sense of whether -- we'll also have a feel for economic potential of other satellite zones but if the technical reports -- and this is a cautionary, tell us that we have a major technical issue, then nothing happens even though you may have some reasonable drilling results and a growing deposit. We know the deposit will grow, whether we can mine it, we don't know that yet.
Joung Park: Okay. And going to Meadowbank, it was at almost 10,000 tonnes per day throughput during the quarter. And I was under the impression that the processing plant there runs at 8,500 tonnes per day, which the first quarter figures significantly exceeded. So what's going on there? And is the throughput during the first quarter sustainable?
Sean Boyd: Well, the design capacity there was 8,500. The experience that we've had and probably miners, in general, have is these plants tend to have some headroom above the design capacity. We've been fortunate to have some good performance in the pits to be able to feed the plant at a higher rate. But we did see this potential to run that plant at over 9,000 tonnes a day in previous quarters. We had a very successful start up of the secondary crushing unit last June. And that gave us some good throughput numbers in the second half of last year. And we've done even better as we started the first part of this year. So we were looking in our guidance for a little over 8,600 tonnes a day to average for the year. So we got off to a good start because as we said, we didn't have any -- we were building in some factor for some -- for winter. And generally, this is our toughest quarter. So we've had a good start here in what is normally our toughest quarter, but it is mining. Like a lot of these mines, we do have things that we have to pay attention to. And so all we're saying is, good start, let's see how the rest of the year goes.
Operator: Your next question comes from David Haughton with BMO Capital Markets.
David Haughton: While we're still talking on Meadowbank, following from the previous question, noticed that D&A was down. Is that reflective of how we should be thinking about the depreciation going forward?
Sean Boyd: I'll let Ammar answer that on [indiscernible].
Ammar Al-Joundi: Yes. That's pretty reflective, David, going forward.
David Haughton: Okay. Good, so it reflects the lower carrying value, et cetera.
Ammar Al-Joundi: Correct.
David Haughton: All right. Switching back to Mexico. Looking at the Creston Mascota, the stacking right there was quite a step-up, more than 5,000 tonnes a day. Is that sustainable?
Sean Boyd: I'll let Tim Haldane handle that.
Timothy Haldane: Yes, it's sustainable for the next -- for the better part of this year. Actually, when we remodeled and came out with our new block model this year, we were fortunate to have more ore in the design pit. So a little better ore displacing waste, and that's a positive thing for us.
David Haughton: And Tim, the grade moved up as well, should we be thinking about that higher grade going forward?
Timothy Haldane: No, it will drop off.
David Haughton: Okay. So bring it more back down to the 1.4, 1.2 gram level?
Timothy Haldane: Yes, I'd have to go back and look what our plan was, but that sounds right.
David Haughton: Okay. Well, I got you, Tim. With the expansion of the underground mining rate, would you be thinking about an expansion of the milling rate as well?
Timothy Haldane: Well, I mean, we're looking fairly mid-range or long-range here, and our open pit mines are designed to be depleted pretty close to the end of this decade. So expanding the mill will have to be dependent on us finding another source of feed for the mill to supplement the underground feed. We've got a 5,000 tonne a day mill and we'll have a nominally 4,500 tonne a day underground mine in the future. So if we find more open pit ore or find a way to get more ore to the mill, we'll certainly think about expanding it. But the mill right now is running at 5,000 and we think it's -- we think we can do more of with the existing mill.
David Haughton: So the better way to think about it going forward is just a change of mill -- mix being presented to that mill with more underground material being put there as the pits deplete.
Timothy Haldane: I think that's exactly right.
David Haughton: Okay. Switching over now to Kittila, similar kind of question with regards to open pit versus underground mining. Open pit mining, they're depleting. Don't get a sense as to how much of the quarter came from the open pit compared to the underground and what that mix might be like going in -- through the balance of the year. Can you give us a sense of that, Sean?
Sean Boyd: Yes, Yvon will handle that.
Yvon Sylvestre: Yes. Open pit production for the quarter was roughly about 25%, 30%. The rest was coming -- underground was 25%, 30%. The rest was coming from the pit. The rural pit is essentially complete. The [indiscernible] pit that will be complete by the end of the year, and the mine will transition from Q2, Q3, Q4 from 40% to 75% in the last quarter roughly. And then, going forward into 2013, essentially dependent on that 3,000 tonnes capacity from underground.
David Haughton: Okay. And when we're looking at going forward with the development here, can you see justification for plant expansion? I know that you're looking at a 25% lift, but do you have a sense that it could sustain something even more than that? Or is it too early to say?
Yvon Sylvestre: At this stage, the current mine plant can support -- the underground mine plant can support the 3,750 tonnes per day rate that was scoped out last year. So we're okay on that side. But as we move on with the exploration results both at [indiscernible], a larger project down the road would be defined that way, but we need to clarify the resource before we get any further.
David Haughton: Understood. And Sean, just returning to something that you've mentioned in the opening comments. You were saying that you'd be thinking about the CapEx in the order of $500 million per annum for the next 4, 5 years. How's that compared to the 400 that you're looking at this year. And I sort of expected that with the kind of profile that you got, rather than having a flat $500 million CapEx per annum, we'd be looking at something less going forward.
Sean Boyd: Well, Meliadine is a big part of that. And Kittila, it's not just a 25% expansion, it's also a shaft. La India is also in there. And then there's sustaining CapEx. So we have to fine tune those, but that's sort of a rough sort of estimate. Some years it will be above, some years it could be below.
Operator: Your next question comes from Jeff Wright with Global Hunter Securities.
Jeffrey Wright: One question on Meadowbank. Can you talk about cost containment, cost initiatives a little more elaborate on that project and how you think you can get down a little bit?
Sean Boyd: Sure.
Ammar Al-Joundi: There's an action plan that's in place at Meadowbank. The action plan was essentially focused on production in the last few quarters. As we move ahead with the better success rate, both milling and mining, we're going to move on to cost reduction opportunities. And that's going to be the next focus.
Operator: The next question comes from John Tumazos with John Tumazos Very Independent Research.
John Charles Tumazos: Your disclosure your on cost per tonne as well as cost per ounce is very helpful. And it's notable that other than Pinos Altos, in round numbers, the other 4 mines are near $100 a tonne. And I fully accept that, that's what the cost should be. Do you think, Sean, there is a disconnect between the operating and capital costs as your operators experience? And not yours specifically but in most of the mining companies, the exploration departments where there's juniors running around with 1/2 gram projects and 1 gram projects and 2 pounds of copper and a 1/4 gram gold. Your mines would suggest that you need 2 grams to cover operating costs and a third gram to cover capital costs in the majority of your cases. It would seem like maybe not Agnico specifically but everyone's exploration budget is way too high.
Sean Boyd: Yes. It's hard to say. I think that as we go out and look at smaller situations, I think generally, there's not a lot of challenges in most cases with the ore body where the difficulty is on the cost per tonne estimates to extract the ore. We find there's generally an underestimation of the expectations around the cost per tonne to operate a mine among the junior space. So that's our general experience, and that's where the disconnect is in expectation in the development project in terms of what it's going to cost per tonne versus sort of our reality and what we know it to be. And you're right, in most cases, it's around $100 per tonne.
John Charles Tumazos: So how do you make sure that your exploration moneys are well spent, given the industry-wide tendency to chase pipe dreams?
Sean Boyd: Well, a good part of our budget this year, 60% of it or so, 65% is on the existing deposits. And that's really for resource to reserve conversions. So it's largely biased to that, which it has been over the last little while. And it's even more concentrated than that on a couple of the key projects, which are our biggest projects, Kittila and Meliadine. And that's because we see the potential to add those to our production base, whether it's expanding Kittila or building Meliadine. So that's the way we come at it. How do we improve the quality of the overall calculation and based on the fact set of cost that we have at that operation, we've got a good data set to determine what's ore and what's waste.
Operator: Your next question comes from Anita Soni with Crédit Suisse.
Anita Soni: All my questions have been asked.
Operator: Your next question comes from John Kratochwil with Canaccord Genuity.
John Kratochwil: My questions are actually a cash cost per ounce related specifically at LaRonde and Pinos Altos. They were significantly lower in Q1 than your 2012 estimates. Were these kind of surprises due to higher byproduct credits on the cash costs? Or were your estimates for the year kind of very conservative?
Sean Boyd: At LaRonde, we did produce more zinc so we were able to get more byproduct tonnes. And as we said, our tonnage year-over-year was up 9% to 7,100 tonnes a day. So we had the advantage of a higher realized gold grade as well as the ability to mine some more, essentially, zinc tonnes. So we had about 50% more zinc production in the quarter than we had anticipated which really drove that. And in Mexico, we just continue to have good cost performance. We do have a similar byproduct credit, but I think it was roughly, in terms of production, where we thought it would be. We just got the advantage of a bit better price on our silver than we budgeted. But behind that, we still have a very efficient low-cost operation in Mexico.
John Kratochwil: Okay. And are those kind of lower numbers because we have to basically imply higher numbers for the remainder of the year in order to get to the guidance? So should we, I guess, assume a slightly lower than guided number for the rest of the year?
Sean Boyd: I think all we can say there is that LaRonde will continue to look for ways that we can maximize the ore body by taking advantage of some of that byproduct tonnes or largely byproduct tonnes. So that certainly the emphasis is to try to keep that zinc tonnage strong and that zinc production strong. And Mexico, they've had a good quarter. We anticipate -- and they've had several good quarters, this just isn't a one-off. So we expect some good performance there. But as we said, we just came out with this guidance in mid-February. So that's about 3 months ago. So we're not prepared to change it at this point. It is mining, things do happen. But as we said, we've gotten off to a good start.
John Kratochwil: Understood. Understood. And I guess at LaRonde, the -- I think you said, the throughput was up a little bit. Is that something that's going to sustain for the rest of the year or is that going to come down a little bit? Or...
Sean Boyd: Yes. Hang on.
Unknown Executive: It's sustainable for the rest of the year.
Operator: [Operator Instructions] The next question is a follow-up from Anita Soni with Crédit Suisse.
Anita Soni: I did have one question about LaRonde. Longer term as it goes to the LaRonde deep, I think a couple of years ago, you're thinking about thinking about that operation more than 6,000 tonnes per day operation. Is that still what we should be thinking about once it's fully into the deeper sections of the mine?
Sean Boyd: That's right. We haven't changed that long-term view at 6,000 tonnes a day.
Anita Soni: But at that point, you should be in higher grades more along the gold and the zinc side, right?
Sean Boyd: Right. The average grade of the deposit is 4.4 grams and we're estimating to be mining this year at about 2.3 grams. So we gradually increase the throughput from the lower part of the mine, which will increase the gold grade over the next 2 to 3 years.
Operator: Your next question comes from David Fondrie with Heartland Funds.
David Charles Fondrie: I was just wondering, it seemed like almost everything went right this quarter. Production was up in almost every mine, costs were well within control. Is there room for improvement as we go out over the next 3 quarters, or is this going to kind of be perhaps steady state if -- you've kind of caveated everything by, "Well, this is mining," but do you kind of see things kind of steady state for the remainder of the year?
Sean Boyd: Yes. I guess we would, again, categorize it. As we said 3 months ago, we put out what we would term as very solid, very achievable guidance. That's still the way we want to characterize it. And as we go forward, out in '13 and '14, we see some ability to increase output at some of these mines. And we're working on some of those plans right now. So I think these assets, some of them will continue to get bigger in terms of the overall size of the reserve and resource. We're focused on doing that through exploration as we talked about the split and the emphasis of that program. But several of them still have the ability to grow output as well. As we move through the quarters, we've continued to have good performance in April. But if you look at each of the mines, we'll tell you where we're paying attention. LaRonde, we're transitioning to a deep mine, so that's not easy. The team has done a good job, that you're dealing with a mine that has congestion at depth. You have heat to deal with. Our flexibility improves there going forward as we open up new working areas, but we're still into a deep part of the mine. At Kittila, it's simply the autoclave and the availability of that autoclave and we have to plan for regular shutdowns there. That lowers our availability there. So that's something we have to continually pay attention to. At Meadowbank, it would be cost and waste development. So that's a challenging environment to operate. Our people have done a very good job there. In Mexico, we've had a really good run there. It's a deposit that requires focus on tonnage. The grade is still below 3 grams. They've got some underground development work to do there. We have several of our mines transitioning from open pit mine to underground. So there are still a lot of work to do and there's mining and that's why we'll stick with the current guidance.
Operator: We have no further questions at this time. Please continue.
Sean Boyd: Thank you, everyone. Thank you, operator. And again, for those that have the time, you're welcome to attend our annual meeting, which is 11:00 this morning at the Westin Harbour Castle. We have all of our key people from our operations around the world will be there. And if you'd like to come and chat with them, you're certainly welcome. So thanks for your attention.
Operator: Ladies and gentlemen, that does conclude the conference call for today. Thank you for your participation. You may now disconnect your lines.